Operator: Good morning, ladies and gentlemen, and welcome to the Empire Third Quarter 2021 Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Wednesday March 10th, 2021. I would now like to turn the conference over to Katie Brine, Director, Investor Relations. Please go ahead.
Katie Brine: Thank you, Joanna. Good afternoon and thank you all for joining us for our third quarter conference call. Today, we will provide summary comments on our results, and then open the call for questions. This call is being recorded and the audio recording will be available on the company's website at empireco.ca. There is a short summary document outlining the points of our quarter available on our website. Joining me on the call this afternoon are Michael Medline, President and Chief Executive Officer; Michael Vels, Chief Financial Officer; and Pierre St-Laurent, Chief Operating Officer, Full Service. Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs and are subject to uncertainties and other factors that could cause actual results to differ materially. I refer you to our news release and MD&A for more information on these assumptions and factors. I will now turn the call over to Michael Medline.
Michael Medline: Thanks, Katie. Good afternoon, everyone. I'll keep my comments short today. I don't need to say much about our third quarter results, they stand for themselves. However, I do think many people are sorely underestimating how much stronger our business is now, regardless of any COVID benefits. Today, I want to focus on our performance this quarter, including early results from Horizon and an update on e-commerce. Before I get into our results, I would like to cover three very important things. First, I want to reiterate how proud I am of our frontline and back office teammates. They've continued to serve our customers every day through this pandemic. COVID has unfortunately become our new normal, but we remain more vigilant than ever in keeping our customers and teammates safe. Second, in recognition of Black History Month in February and the recent International Women's Day, I want to take a moment to reflect on these important annual celebrations. Remembering and celebrating the people and events in Black History is important and necessary. We must address and rectify long-term institutional bias and racism. We are engaging with marginalized teammates, listening, learning, and taking action to address anti black racism and advance on a culture of inclusion. Our partnership with the BlackNorth Initiative remains very important to us. It is a guidepost for our actions. While there has been some meaningful progress on advancing women in the workplace, there is still so much to be done. For us, progression and representation of women continues to be a key focus. It is embedded in our leadership selection and development processes, which is making a real difference. For example, store level programs have led to increases in women in historically male dominated roles. At Empire we don't limit our diversity, equity and inclusion growth journey to a single month or day, it's ongoing. I'm so proud of our DE&I [ph] team and all our teammates who were supporting our DE&I [ph] growth journey. Now on to our third quarter results. We're extremely pleased with our performance this quarter. We're delivering on both our top and bottom lines. We have a strong balance sheet and have continued to strengthen it through the last year. And even through the pandemic, with more demands than ever on our team, we are seeing the real start of financial benefits from Project Horizon. Sales were up 12% this quarter with same store sales up 10.7%. We continue to see substantial gains in our national market share and market share growth in every region of the country, as our sales growth outpaces competitors. There are a few reasons sales remain elevated, and our market share continues to grow. One, the latest COVID lockdown did bring a surge of sales in certain regions when initially announced. Two, the strong improvements in our store operations and merchandising have enhanced our winning customer value proposition. Three, our strategic investments including Farm Boy, FreshCo, and Voilà, as well as our store renovation program are outperforming, we are very proud of these investments. And lastly, this quarter encompasses our busiest time of the year with the holiday season. Our team delivered strong results, outperforming the market in this important period. Our gross margin dollars were positively impacted by increased sales. But in addition, gross margin rate were 25.7% off a truly impressive 134 basis points over last year. The strong improvement in margin is in large part due to early Project Horizon results. This includes tremendous progress we've made with our promotional optimization program. The program is powered by collaboration between our merchants and our advanced analytics team. Together they have designed new processes and tools to improve promotional planning, and already this program is embedded in the day-to-day business of our merchandising organization. However, algorithms alone do not make the best decisions and are no substitute for good judgment. Together our great merchants equip does improve data form a powerful combination that is driving our compelling customer value proposition. A smaller portion of the margin improvement comes from continued sales mix shift toward our full service banners. I believe our strong margin performance this quarter shows that you don't need to send unilateral letters to your suppliers to do well in this business. We try to treat our supplier partners with respect and transparency. We believe this values driven approach garners better results for both sides. It doesn't mean we're not tough, we are, but we negotiate the right way. I am extremely proud of our merchants who put these values into practice every day. Now, Mike will speak more on SG&A in a moment, but I would like to highlight how we’ve kept our commitment to offer our frontline and distribution center teammates a lockdown bonus, even while much of the industry did not do so. To us, it was certainly the right thing to do. In Q3 this investment was $9 million. Our initial estimate of up to $5 million only included Manitoba and select regions of Ontario. In Q4 based on current estimates, we expect the lockdown bonus to be up to $4 million. Next a few updates on e-commerce. It’s been another impressive quarter for our e-commerce business as we continue to hear how much customers love Voilà. This quarter Empire’s e-commerce businesses grew 315% over last year. With the continued expansion of Voilà, arrival of winter and further lockdowns, we thought an impressive increase over the second quarter as well. Today I can share update projections on the financial impact of Voilà. As we previously publicly disclosed, our expectation was that Voilà would dilute EPS in fiscal 2021 by $0.20. However, we now expect our team will over deliver on this estimate, with full year EPS dilution of $0.18 in fiscal 2021. Our initial $0.20 estimate did not include the full costs for store pick, but the revised estimate of $0.18 actually does, so it's even better than it looks. This reduced dilution is a direct result of the team's outstanding efforts to ramp up the business quickly to meet customer demand, while maintaining cost discipline. As we have said in the past, Voilà has a strategic long term investment. Our partnership with Ocado provides us with the best and most customer-friendly grocery e-commerce platform on earth. While we're seeing dilution, now this investment will pay off. When we achieve scale, we expect to have the most profitable approach to grocery e-commerce in Canada, and it will be exclusive to us. To wrap up, I would like to highlight how we have continuously demonstrated that when we set targets for ourselves, we meet them. Our results prove this time and time again. Our team is working hard to drive our core business and to execute our strategic growth agenda. We will review our first full year Horizon in June. For now while we were only nine months into our three year growth strategy, we already have material benefits kicking it. With two years still to go, we are highly optimistic. People sometimes forget that our operational and merchandising execution is so much better than it used to be. We prove what we can do by delivering Sunrise on time and exceeding targets. We continue to prove this with our strategic investment, like Voilà and Farm Boy, both of which are outperforming. There's a reason we're outperforming the competition and it ain't all COVID. With that, over to Mike.
Michael Vels: Thanks, Michael. Good afternoon, everyone. I'll provide some additional color on our results, of course, answer comments on our fourth quarter, our cash flows and an update on capital expenditures. Next quarter, as everyone knows, we'll start to comp the elevated sales we saw at the beginning of the pandemic. Last year, we started to see significantly higher sales starting on February 28. The following week saw customers stock up in preparation for possible stay at home requirements. As a result, we saw an unprecedented 18% same store sales in the fourth quarter last year with very volatile weekly sales comps ranging between negative 1% and positive 52%. The last half of Q4 last year drove the lion share of that comp increase. We've not seen this level of buying as elevated since then, and shoppers buying patterns evolve through COVID. As a result, our sales compared to last year this early in the quarter are in no way an indication of where our total sales comps will end up at the end of next quarter. Because of this volatility, even a negative same store sales number for the fourth quarter will not automatically indicate weaker sales, just an anomalous outcome because of the highly unusual quarter last year. In the first five weeks of the fourth quarter, ending last week, our same store sales were 9% compared to last year. As I said this increase is unlikely to be sustained through the fourth quarter, as a result of the significant COVID-driven sales last year. As Michael said, we had strong gross margins this quarter, with 134 basis point increase from last year. Going into the fourth quarter, we continue to be satisfied with our margin rate discipline, and the impact of Horizon benefits that are improving our margin. Of course, it's always our goal to keep pushing on efficient translation of sales to the bottom line, as we pursue our EBITDA margin goals. The rate of improvement in the third quarter, however, may not be entirely repeatable in the fourth quarter, as we're also lapping an increase in margin rates last year, and it recalls [ph] by inventory shortages, that did not allow our suppliers to supply all promotional items. And as a result, we had a higher percentage of sales at regular prices. On the other hand, we do expect to continue to reflect Horizon benefits and positive impacts of our higher margin service counters coming back into service since last year. This quarter, there were some significant items in SG&A that increased our SG&A as a percentage of sales. Some of these impacts will recur into the fourth quarter, but not necessarily into fiscal ‘22 - 2022. There's a lot going on in our SG&A line, including our new e-commerce business for conversions, higher volumes, and COVID impact on labor wages. First, accounting accruals for our store distribution center and backstage teammate compensation continued to be higher this quarter, and they will be in the fourth quarter as well. We do not expect to see these expenses at the same levels in fiscal 2022. Second, COVID costs, including the lockdown bonuses are an increase from last year. These costs for the fourth quarter, estimated at between $15 million and $20 million will be less than the COVID costs for the fourth quarter last year of $80 million. Third, the new Voilà business now has its full back office SG&A and supply chain costs reflected in the company's SG&A compared to last year. Voilà loss to customers June 22nd, a little over halfway through our first quarter last year. Both expenses associated with the closure of stores and conversion to FreshCo stores in Western Canada, and Farm Boy stores in Ontario are recorded in the third quarter. And finally, right of use asset depreciation on IFRS 16 is higher than last year, reflecting an increase in occupancy costs. As I said, there are a number of items impacting SG&A with total costs and impacts and investments in Horizon initiatives. Another example of these costs that have been elevated and where we will continue to invest is in marketing, where we have invested to reposition our full service and discount banners [ph] with our customers and of course invest - invested in awareness of our new e-commerce platform. Another investment that will also begin in the fourth quarter is our extremely exciting investment in sponsorship of our Canadian athletes. In 2019, we announced our partnership with the Canadian Olympic Committee, as the first-ever Official Grocer of Team Canada. With the delay at the Summer Olympics, we now have both Summer and Winter Games in the same fiscal year, which we of course did not fully expect. This is a once in a generation opportunity to grow our brands with Canadians during two Olympics in one year, and we intend to take full advantage of this exclusive chance. EBITDA margin in the third quarter increased by 90 basis points over last year due to the 134 basis point increase in gross margin, partly offset by the impacts of SG&A as an argument [ph] The effective tax rate for the quarter of 26.4% was in line with the statutory rate and executing the effect of any unusual transactions or tax rates on property sales, we estimate that the effective income tax rate for fiscal 2021 will be between 26% and 28%. The earnings per share, as Michael said includes $0.04 per share of Voilà dilution compared to $0.01 last year and $0.04 per share of FreshCo and Farm Boy conversion and store closure costs compared to none last year. We're very pleased with Voilà’s consistent growth in order volumes week-over-eek. Voilà sales have increased by approximately 100% from Q2, and our total e-commerce sales were up by 350% compared to last year. This increased pace of sales has reduced our expected EPS dilution estimate from $0.20 to $0.18 for fiscal 2021. Even after accounting with the launch of our stock pick solution, which has an expected dilutive impact of approximately $0.01 for fiscal 2021. Equity earnings increased year-over-year, principally due to higher earnings from Crombie REIT, which continues to perform well, in spite of COVID headwinds, primarily due to their high quality portfolio, a significant amount of which is anchored by Empire grocery batters [ph]. Their rent [ph] collection rates are high at 98% in their fourth quarter, and continuing through January. Crombie REIT started their calendar 2021 with record, committed occupancy of 96.4% and a strong property development strategy. Cash flow generation continues to be strong. At the beginning of this quarter, we fully retired two debt facilities. This combined with continued strong EBITDA, improved our fund to debt to EBITDA to 3.3 times compared to 4.1 times last year. The company's credit metrics and financial profile continue to improve due to stronger operating performance and stable financial leverage. As of this week, we've repurchased approximately 2.8 million shares so far for consideration of $100 million. We intend to complete the current NCIB up to 5 million shares. And when that NCIB is completed, we plan to renew it with the TSX at a higher level of share repurchases. Year-to-date, we've spent approximately $450 million in capital investments, and we continue to expect to spend between $650 million and $675 million for fiscal 2021. About half of this investment is being spent on renovations and new stores, including the expansion of FreshCo in the west and Farm Boy in Ontario, $65 million of the total will be spent on Voilà, including CFC 2 construction and rollout of the installed [ph] hacking solution. We renovated 19 locations across our network this quarter. And we are on track to renovate 30% of our Empire store network over the course of Horizon. This is a significant discipline program with our strongest returns. Our renovation program is meeting if not [ph] exceeding sales forecasts and business case. If you look at the earnings presentation document on our website, we put some of the before and after pictures of recent renovations, which have improved our customer experience and provided new assortment in many stores, which is garnering significant enthusiasm from our customers. In January, we announced that we have reached the halfway mark of our Western Canada discount expansion plans. We opened our 23rd store last week. And our plans to open another three to five stores in the fourth quarter with a target achievement of 10 to 15 stores in fiscal 2021. Next quarter will be the two year anniversary of our first FreshCo stores opening in the West. Farm Boy opened their 36th store last month. They are on track to open a total of eight stores, including one relocation in fiscal 2021. Approximately two years since the acquisition, we now have 42 confirmed locations and plans for more. In March, we opened our first Voilà spoke [indiscernible] in Ontario. Spokes are cross-dock facilities that allow us to get closer to our customers and improve efficiencies of [ph] CFCs, for example, by improving a key efficiency metric, such as drops prevent. The spoke reduces the distance to our customers and increases the amount of deliveries our customers can make in a shift. This particular spoke will relieve long term capacity constraints and it had a very smooth start-up. In December through our Crombie development partner, we completed construction, our part of the construction of the CFC building in Montreal on time and Ocado began their build of the internal grid. We expect to start testing the system and bringing in production in the second half of calendar 2021. Our target launch date remains early calendar 2022. As you can see, there is lots on the go. We have detailed plans built by our leadership teams, singularly focused on our Horizon targets and managed by our disciplined PMO teams. We've managed to restart all of our initiatives that were previously delayed due to COVID and expect to exit fiscal ‘21 with momentum on these critical activities. We're really encouraged by our early success on new capabilities and tools such as Artificial Intelligence, and Advanced Analytics, and the new processes in our merchandising operations groups. Our Horizon progress is on track. And there is so much more to come. And with that, Katie, I'll hand the call back to you and take questions.
Katie Brine: Thank you, Mike. Joanna, you may open the line for questions at this time.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] First question comes from Patricia Baker at Scotiabank. Please go ahead.
Patricia Baker: Good afternoon. Thank you very much for taking my question. Michael, just to talk a little bit more on the promotional optimization. I mean, certainly provided you with a win in Q4. And it sounds like it's going to be a gift that keeps on giving. So the way that you know, I look at it here, there's two elements. There's the data and the analysis of that data. And then of course, as you refer to your opening remarks, there's the teams that work with those tools to deliver the promotional effectiveness. Now the data has always been there. So as I recall, when you first joined the company you said you were really impressed by the amount of data. So obviously, you know what - part of what's happening here is that the mining of the data has improved significantly. But I just want to get your impression if you look at the teams that are managing the promotion, and as you indicated, also using their judgment, because the results that we saw in Q3 demonstrates that the teams are as agile as you'd want them to be or, and how would you compare them to where they were a year ago? And then or is there more to come? And does success, assess [ph] the successful promotions just build on the next promotion so that you just keep getting better and better?
Michael Medline: Yeah. Great, question. And when I think about all the time, especially today, we just had a presentation. We have many presentations, but we had one at our Board today on promotional optimization. And it was led by merchants at many levels of the company, I think four different levels were represented. We swim in that and we’ll always have. What we've done is we've cleaned up the data. So it's incredibly usable. We've got - I want to compliment our technology team they have - they're just killing it. And we're putting tons of pressure on them and they're responding. We talked about our data analytics team led by Mohit Grover, they're aces. But this is no - we're not hiring hundreds of people here, guys. You don't need to, you just - you need to - you just need fantastic superstars in data analytics. And - but the biggest thing that I've seen, and I don't think they notice it is that our merchants have just embraced this. And they're excited about it. And now they're the ones driving have more and more analytics and to make good decisions on behalf of our customers. So offers [ph] to our customers are sharper and smarter and more appealing. And this is not just marketing, this is a sales game. We want are customer - we want to win our customers over and take market share. And the merchants that I don't think they notice how much better they are than a year ago. It's incredible. We're speaking a different language. But we're in the early days. So you saw the difference that can make to our company. It was a big portion of the 134 basis points that we saw. And these are just early days, right. This reminds me, I am aging myself, reminds me of the early days of Sunrise when people didn't see what was coming, and what we saw. And this the way we do things and our leadership, especially from, you know, Peter Celeron [ph] Mohit, and Bruce Burrows in technology, driving this analytics. This is this is our biggest opportunity. And now that they love it, they're going hunting for it. And so this is our biggest opportunity, always was going to be, but we couldn't have done any of this before Sunrise.
Patricia Baker: No, absolutely. You mentioned that the merchants embrace this. And they're speaking a different language. I'm just curious, are they speaking a more return-oriented language than they would have been a year or two ago?
Pierre St-Laurent: Yeah. They have very powerful dashboards in front of them now. They know in a very short time its [ph] promotion or the level of effectiveness of the promotion. So we are hearing them talking about red promo, yellow promo and red promo, we have less and less red promo now, green and red promo. But we have less red promo now, we have green promo and it's only good for us but its only good for supplier partners. You know, everybody wants to have a meaningful and effective promotion. And they want to maximize the impact on customers. And we have very well merchandise [ph] very good conversation with supplier now to increase the effectiveness and the - and all meaningful promotion for customers. So that's the different language we hearing now. And it's very encouraging for the future.
Patricia Baker: Thank you very much, Pierre, and Michael.
Michael Medline: Thank you, Patricia.
Operator: Thank you. The next question comes from Chris Li at Desjardins. Please go ahead.
Chris Li: Good afternoon. Maybe first one to Michael, just listening to your opening remarks, it sounds like the benefits from Horizon were a bigger driver of the gross margin improvement this quarter more so than the sales mix impact? And I guess first question, is that correct? And then number two is, can you maybe quantify for a little bit just how much are the impact was from each factor, please?
Michael Medline: Mike?
Michael Vels: Thanks, Chris. I think Michael said it was a significant amount. You know, COVID is still a significant effect on the numbers. And that mix shift has been significant. So you know, I think in order it would be - it'd be both very significant, the mix and Horizon benefits. But, you know, when I add other call it, strategic decisions in, like Farm Boy, the discount, renovations, you know, this is not only about advanced analytics, and if I started adding in some of those items, and then I think ascribe some of our share gains that we've made to those initiatives, then I would say yeah, in total, between sales and gross margin rates, Horizon was probably a greater driver. So I guess what I'm saying is very hard to specifically separate out sales impacts. We can separate out gross margin rate impacts a little better. But I wouldn't get fixated on just the one thing we're doing. We're doing many things. We've been doing them quite well, even coming out of Sunrise and we feel good about material amounts of this quarter's result being repeatable in future quarters.
Chris Li: Great. That's very helpful. And then my other question is, just conceptually speaking, as the industry cycles through very strong comps. How do you strike the balance between you know not chasing after unprofitable sales versus ensuring that you're not losing the share that you have fought so hard to gain this past year?
Michael Medline: Pierre, do you want to – sorry, Mike you want go ahead, and I think Pierre has anything to add.
Michael Vels: Yeah. Go ahead, Pierre. Obviously much to say, why don't you take another question.  As we – we’re going to see maybe some negative, well, we’ll see negative comps, especially, probably those tiny bit because we're [indiscernible] some big periods. But how do you make sure you don't chase them, but keep your market share.
Pierre St-Laurent:  I think that's the main KPI going forward. We need to look at market share more than our usual KPI like comp sales versus last year. So as long as we continue to gain market share, the LT way [ph] with no empty category sales will be satisfied. So I think the team is behind that new KPIs for the next year because we don't want to change the good year here with salt [ph] recently. So - but we believe that we will continue to - we did really well in COVID. And we believe that customer will continue to shop our store based on the good job we did. So we're confident for the next year for sure. But yes, we want that the same sales, especially over the next two, three weeks. We had big panic buying. We won't see the same level of sales, but I think we will continue to see LT [ph] sales and margin by [indiscernible] KPIs.
Michael Medline: Yeah. I mean - I think Pierre that's perfect. That's exactly right. And there are a lot of retailers you hear and it's always danger upward as they chase sales or they - then they chase margin. We're working and we're helped by a fantastic team, but also with way more use of data and smartest end category reset that we don't talk like that anymore. We believe we can grow our market share and grow our margins.
Chris Li: Perfect. And then maybe just one very last question. How much were the full cost for the store pick that were not initially included in your $0.20 polar [ph] dilution estimate?
Michael Vels: Its about $0.01 per share.
Chris Li: Okay, thanks very much.
Operator: Thank you. The next question comes from Irene Nattel at RBC Capital Markets. Please go ahead. 
Irene Nattel: Thanks. And good morning, everyone. I guess we're now about nine months or almost nine months since you rolled out Voilà [ph] in the GTA. And I was just wondering if you could talk about what you're seeing in terms of consumer purchasing behavior and sort of how often are they ordering basket sizes, retention rates, you know, anything that you can tell us there?
Michael Medline: Mike, do you want to have a swing of that?
Michael Vels: Sure. First of all, our week-over-week sales I think of in virtually every week since the last have increased. And that's a combination of our new customer counts and basket size increases as well. Our retention rates are excellent. And our efficiency statistics, it'd be fair to say, you know, I mentioned on the call drops, prevent a number of picks generated inside the facility by our robots. Our substitution rates, our on-time delivery rates, are all at or above our targets. So it's super hard to go through every one of those statistics. And probably not smart to competitively do it. But I think the only item that we are planning to change materially going forward, is that we added about 1000 articles to our circumstance, last time we spoke to you. And as we move forward, we still have significant the more room to add assortments in that facility, and we intend to do so as soon as the supply chain can make it and when negotiations that we've - we have in place for some more specialty items are completed. We added a pretty cool line of all of Oliver & Bonacini pre-made meals [ph] and they sold out in an afternoon. So that type of innovation and that type of excitement, that's really going to generate a lot of long-term success and something that Sara and her team are working on with a significant amount of urgency.
Michael Medline: And every week – about the three things I look at most and I'm happy and in fact, we're over performing our retention rate of existing customers, tracking new customers and basket size. So there's just really - there's no bad news there. It's all good.
Irene Nattel: That's great. Thank you. And then can we - can we get an update, if possible on just how the complimentary launch is doing. And also, you know, so whether you're continuing to see rising penetration, and how that's playing into e-commerce as well?
Pierre St-Laurent: On private label we continue to outperform our total growth, which is a good sign. Once again, like I already said before, the nutrition [ph] raises KPI but not my favorite, my favorite is make sure that private label will play a meaningful role in every single category. So in some category, there's a lot of opportunity for us and some other less. So it's why we – so now and the good news is, now the theme is rebuild category for private label. Last year, if you remember we did get a reset in the past, now we're doing exactly the same thing with private label. So we'll have a more relevantly for private label item and we'll have better cost of good and then private label will play the main roles they have to play, I mean, generating more operating profit in that meaningful pricing for customers.
Irene Nattel: That is great. Thank you.
Operator: Thank you. The next question comes from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Good afternoon. So just a couple follow ups and appreciate all the comments. With regards to the dilution on Voilà, obviously, you're moving in the right direction there. I mean, just sort of, you know, if I heard right, it sort of sounds like $0.03 likely for Q4, can we sort of extrapolate that kind of penny a quarter pace of improvement as to when you might reach breakeven, or what are the other variables there?
Michael Vels: Yeah, I don't think I do that Mark. We - the most significant element of moving to acquisition for SGFC [ph] is going to be sales increases for sure. Where - and as I mentioned, things like assortment size, basket size, customer attention, all that sort of thing is going to go into that. We are going to also start incurring costs with CFC 2 [ph] next year. And our intention, once we've solidified our plans is to provide a more granular estimate of what we anticipate our total e-commerce impact will be for next year. But I think it's fair to say, that as Voilà continues to bet down, their efficiency ratio has now become either at or better than target and are repeatable week-to-week. We're driving - we're converting the sales to earnings. And really what we need to do over the next year is just keep doing what we've been doing and cover the fixed costs. So you're right, that it's going to consistently improve, in our opinion. But just taking a linear earnings per share number, I don't think it's going to get it done. So we're going to provide a little more information on that probably in the next quarter.
Mark Petrie: Okay, thanks. Yeah, I was just referring to CFC 1 [ph] And sort of putting CFC 2 aside. And just on that topic, I think you've said in the past, but just to confirm, you expect CFC 2 to be less diluted than CFC 1, at least incrementally, simply because you're now leveraging some of the infrastructure that's in place?
Michael Vels: But to the extent that we don't have to repeat the infrastructure, you're hundred percent right.
Mark Petrie: Yeah. Okay. And then actually, I just wanted to ask specifically, just, again, follow up on the private label side. Pierre, how far are you through that sort of category management exercise, specifically as it relates to private label? And then I don't know, Mike, if you can help us just in, you know, what was that also a factor in terms of gross margin in Q3? Obviously, it's embedded in the Horizon number, but just curious, any comments?
Pierre St-Laurent: Good question. We have - I think it's a blackboard [ph] this year, I think most of the benefits will be in year ’22 and year ‘23. So we are in the early stage of capturing benefit. But there's a lot of job done so far. We're going by waves like we did with reset, it's a very good method. And we're leveraging from our past experience with schedule [ph] reset, so we continue to follow the same type of process. So now in wave one, and then we do wave two and wave three, like we did for reset. So - but most of the benefits will come in F ‘22, and F ‘23. And they're significant. But in this quarter, it's not material.
Mark Petrie: Okay, thanks. And actually, sorry, just to come back to Voilà. I had one other question, which was, you know, with regards to adding more skews, like I think that is something that that customers are definitely looking for. So what is the impediment to doing that? I mean, you mentioned negotiations with suppliers. But is it strictly sort of ramp up on customers? And then also those supplier constraints? Or what is the impediment to doing that today?
Michael Vels: Well, there's no impediment to stopping us from doing it for sure. We – we’re very picky about making sure that and if we introduce an assortment into our – an item into our assortment, that our suppliers are going to be able to deliver consistently on time. And so our efficiency rates stay up in terms of no substitutions and on time in full. And just with COVID not all the suppliers have been quite as flexible and that's improving day by day. And we're encouraged by the progress. That's really it, Mark. There's no other reason, over and above that.
Mark Petrie: Okay, appreciate the comments. All the best.
Michael Medline: Thanks, Mark.
Operator: The next question comes from Karen Short at Barclays. Please go ahead.
Karen Short: Hi, thanks very much. I was wondering just a couple questions, in terms of the comp in the quarter to date, I was wondering if you could give a little color on basket and traffic in terms of the comp. But then also talk a little bit about variation by province. And then, you know, I know, some parts of GTA have started to reopen. So is there any color you could give on how that trended since a little bit more of a reopening and some of the regions that you operate in? And then I had one other.
Michael Vels: So it's increased across the board, across the entire country. Their rates of improvement would be different, depending on which province you're in. So in Atlantic, which has had less COVID cases, and in many cases have been in - quite the Atlantic bubble for most of the time, not all of it. Those rates of improvement haven't been quite as high. In Quebec, and Ontario, depending on timing of lockdowns, they would probably on average, have had the highest rates through the period, and then varying rates in the western provinces, depending on again, the timing of their lock downs and the impact on resolving behavior. So, you know, that's, generally speaking, I think as far as we're prepared [ph] to go, we're not going to quantify the numbers of these province [ph] they're actually also highly volatile, they go up and down, depending on lock downs, and in what areas. In terms of the 9% year-to-date, there's obviously changes in Ontario, and other places, where lockdowns are being used. We have no comment at this point as to what those trends will be and where they're going to go over the short term. We just - you know, I think it just be wrong for us to try and estimate that. We've given you at least the actual facts just the early weeks in the quarter, but really can't provide any further, at least numerical guidance on that, at this point.
Michael Medline: The only thing I’d add Mike…
Karen Short: And then…
Michael Medline: The only thing Karen, I’d add, maybe Mike can - tell you what Mike said, which was completely accurate, it's not - the flames are on the margin, right. They're not on, like, they're not - they don't swing way up and way down on lockdown. It's more like a margin. And so I don't want you to go away thinking that, you know, we go from 20 to zero, and then that doesn't happen. It's just little things. And so, you know, we're still seeing elevated full service, market share gains, and all that, just little movements across country where things change. I wouldn't - I don't want to overstate it.
Karen Short: Okay, thanks. And then I don't know if that you've given us a freight [ph] you have, I missed this, and what is the actual cost of the investment in the Olympics from, I guess, an expense perspective? And then how do you think about the return on that investment? Just curious.
Michael Vels: Sure. I’ll pass the question to Michael, on the returns. We're not disclosing the total cost of that. It's - there's clearly media and sponsorship costs, but at the same time, we're also not necessarily investing. In some of the other media properties we might have otherwise done without the Olympics. So it's not a street ad. We are becoming more efficient in some of our other marketing expenditures as well. But we're not providing the estimate for that.
Michael Medline: On the return, look, so I have a lot of experience from previous experiences in branding and the branding [ph] Olympics. And that's why Empire has taken such a big stand in terms of sponsoring, especially sports, because I think part of the - part of our rejuvenation has been on the brand and what we've done in terms of sponsorships, hard to quantify. I can just say that, being the exclusive grocery partner in – of the Olympics, and they look to the biggest, as soon as we could grab that we grabbed it because I know how powerful that is. And it's an exclusive platform. And for our people and I mean it's great for customers, it's great business, but it's also for our people inside the company very exciting to support our athletes. So it has a big impact, sometimes hard to quantify because it's its friend [ph] et cetera. But we we'll take full advantage of this exclusive opportunity…
Karen Short: Yeah, no, I agree. I agree. It's a great opportunity. I just - I was wondering if you had any metrics on top line potential as well? Because obviously there has been history on that in other categories, but?
Michael Medline: In Canada, no one had ever grabbed the Olympics before. I mean, it wasn't exactly a - it was hot. So it's a hot property in every other part of retail except no one had ever done it in groceries, surprisingly, or not - none that I've ever remembered. And so I think we have a huge opportunity. And yeah, of course, we have goals and we have great marketing team that's all over it, merchandisers who are all over it, and so that's built into our plans.
Karen Short: Great, thank you.
Michael Medline: Thanks for a great question.
Operator: The next question comes from Vishal Shreedhar from National Bank. Please go ahead.
Vishal Shreedhar: Hi, thanks for taking my questions. Just to paint the same wall here, and going back to gross margins. You know, obviously, we don't see that kind of performance on a regular basis in that sector. So with respect to the initiatives that you've implemented, I am wondering if you've had any customer feedback on kind of the movements that you've made on your promotion? Are you seeing any changes on Net Promoter Score, one way or the other to kind of gauge the customer's reception to these initiatives?
Michael Medline: That's a good question. I think, once again, the best indicator for us is market share. So that means thing we are doing are meaningful for customers, we monitoring price perception and we seeing positive movements. So I think overall feedback - so it's tough to a customer to – they don't have the data we have to build meaningful promotion, but their perception remain strong. And we’re seeing slight improvement, but the right – the real KPI, once again, it's market share. So - and, you know, we’ve seen good results in Q3, but it's not new. In Q2, we've got good results also on margin. And so its just a continuous improvement, we accelerated both margin and market share gains. So it's not something new in Q3, it's just a continuous improvement on what we working on since year or two. And we are at early stage of Horizon. So we expecting a continuous improvement again.
Vishal Shreedhar: Okay, thank you for that color. And just a few quicker ones here. With respect to a sale, are you - is management indifferent to a sale on Voilà or your existing store based platform? And maybe if you can expand upon why, if you do have a preference?
Michael Medline: Well, so far, we haven't had to make any choice. We'll take it both places like we are today. I mean, right now until we got to scale, it's probably slightly better to sell the store in terms of the bottom line. But as we got to scale that, it's going to get closer and closer that we're indifferent. We want just to thrill [ph] our customers and most customers like - I've an example, I shop bricks and mortar and I shop Voilà. And most customers don't think of it, like if they just think of it shopping they think of it as having opportunities to buy in different places. They don't usually choose one or the other. Some customers during COVID may have chosen to go e-commerce more heavily in the bleakest times. But I don't see it - like we don't have a choice, wherever your customer feels most comfortable, we'd love to welcome them and every indication I've ever seen, ever seen is that when they become an e-commerce customer, the halo effect on your bricks and mortar go way up. And - but you know, it's - you know, basket sizes are bigger and e-commerce margins are slightly better in bricks and mortar right now, but we'll take them anyway, we get them. Great question, though we think about that a lot.
Vishal Shreedhar: Yeah. Thanks for that color.
Michael Medline: Thanks, Vishal.
Vishal Shreedhar: And as you reflect on that, on the pandemic and potential lasting changes to the consumer, I am wondering if you can talk about your real estate strategy and if you foresee any changes, perhaps more suburban, perhaps lower real estate costs in urban centers that make those regions more appealing? Is there any insights that you can share? Or is it business as usual?
Michael Medline: Perhaps what we're looking at right now. I mean, we're - we believe there will be lasting impacts not only in our sector, which is grocery that we do believe we're quite happy to be heavily in full-service right now, while furiously expanding our discount price and fiscal matters [ph] But we're going to keep looking at this because I feel like there is going to be lasting impact. It's question of how big that impact is. You know, we’re well set up for it, to be honest for you. And I don't think we have to change our strategy very much at all. But we're going through that right now. Our real estate team working with our operators are looking at that right now. And - but I don't think it'll make a big difference. But you got to keep looking at these things. I think you're absolutely right, we have to look at the trends. And so far, the trends are really helping us. So I think they'll continue to help us. And then we have to look forward and really optimize.
Vishal Shreedhar: Okay, thanks a lot. And congrats to the team on quarter.
Michael Medline: Thanks, Vishal. Appreciate.
Operator: Your next question comes from Peter Sklar at BMO Capital. Please go ahead.
Peter Sklar: Hi, just a couple of questions left. Michael, like it's no secret that Loblaw was more aggressive on price on the discount side. So I'm just wondering, from your perspective, like, do you feel that pressure and you have to adjust your promotional direction? Or is it just, you know, the shift is on automatic pilot, you just failed, you know, through it, which is kind of noise in the backdrop.
Michael Medline: That's going to be one of the best questions I've been asked. Like, can you remember on automatic pilot, we watch like hawks, everything that goes on in this industry. At the same time, play our own game and kind of tuning out, some of the noise on the sides has really been serving as well, as you can see, in a quarter where we – we have never seen a quarter like this, where we boosted our margins like this and grew market share, and all the other things, and that's on top of COVID benefits. So we saw, you know, increase. When you lose market share, you swing around a little bit, you try to do some things. You know, kudos to that, I guess. But, you know, we saw some more front page promotional activity in certain areas in discount, which is lost [ph] market share, and we saw a real heavy marketing spend from vendors. But I think, you know, maybe we adjusted a tiny bit, but not very much, we think others are going to have to adjust around us a little bit. So that's the way we look at it. But if we are – we’re not on autopilot, we're always looking, but I think we got the right - I think we got the right tactics, and I [indiscernible] discount and Sarah, and Lola. They know what they're doing.
Peter Sklar: Okay. The other thing I wanted to ask you about, if I could just challenge you on one thing is…
Michael Medline: Sure.
Peter Sklar: Like, you know, how some of your competitors have been demanding additional price from the supply base. And Empire is not like you're taking a more, as you it will call it, responsible or business like relationship with your suppliers. But like, if you look at that project, Sunrise, and like the category reset, would have incorporated suppliers. So like in that context, didn't you go back to suppliers and that's the price. So I'm just wondering how, you know, what your thoughts are when I put it to you that way?
Michael Medline: Can you say it one more time?
Peter Sklar: Well, you're saying that, unlike your competitors, that, like you're not demanding price from your suppliers, like you're not demanding a 2% price across the board, you're being much more - you're being much more responsible. But what I'm challenging you on as part of project Sunrise, though, I would have thought you would have gone for some pretty aggressive price from your suppliers. So isn't that true you really did have a go at your suppliers and just wondering, like, comment is when I put it to you that way.
Michael Medline: Oh, yeah, I've never, not – Peter, that's great question. Never hidden it, but we're top [ph] We're never going to negotiate. And I don't think we were, you know, number of years ago. I think we got taken advantage of and we didn't know our own business well enough. And we didn't - you know, you've seen how we've improved out bottom line. It's been some of that is because we’re fair, but top, but I think that's the way to look at it, Peter, is there's a - in our opinions, and others opinion I suppose there's a right way to do business and there's a wrong way to do business. And we try as much as we can to be transparent, fair, but not everyone's happy, I got a few emails this week from suppliers that had lost some business because these are on – well, it's always quality and pricing and all that, so we can be more competitive and so not everybody's going to be happy with us. At the same time, there's a way to do it. And I know our supply partners understand that, they are into hard negotiation, they're darn good at. We're good at it now. And that's the way we do it. But we're trying to build the pie up, right, we're trying to work with them to thrill the customers have more innovation, and take up some costs and pass it on to the customers. And our way is better in our opinion. And, you know, I think you look over the last four years, you'll see that our weight is probably the better way, if you look at it, we've grown our margins, and EBITDA margins while at the same time trying and not successfully if we can to be fair, transparent and be values-based. When I gave a speech, it got a little bit of attention at the Empire club in October. And I said, which is that, I said that at event, which is that COVID showed us how we can work together better. We think we can grow the pie. But we're not going to - we're not going to give up being tough and negotiating tough and we've been very clear on that. For our customers and our investors expect us to outperform and beat the competition. We just want to do it in a different way that we think is more successful, if otherwise a different way, I…
Peter Sklar: Okay. That's a good answer. Thank you.
Michael Medline: Thanks a lot. We got some good questions today.
Operator: Thank you. The next question is from Kenric Tyghe at ATB Capital. Please go ahead. Please go ahead. Kenric, your line is open, you may proceed with your question.
Kenric Tyghe: Thank you, and good afternoon. My question, Michael, I guess I better keep the train going. So Michael, just coming this slightly different way to an earlier question. So you've called out you know, share and share gains and the like, can you even directionally give any insight on just how much of a benefit for service has been, sort of through the pandemic with your one stop hot shop focus. But perhaps more importantly, how you see that evolving through 2021? Both digital footprint evolves with increased discounts. But also as consumer habits start to rebalance. And we find whatever our new normal is, and I don't think the new normal, you know, I don't think normal is the normal evolve. But we also know exactly what that's going to look like. Can you provide any insight direction or otherwise, on that? I mean, how sticky is how well have you positioned on rebalancing?
Michael Medline: I mean, there's a mixture, what's going on a lot of mixing going on, which is, you know, COVID majors have been helpful the full service, at the same time, we've stepped our game up appreciably over the year, last year, we would have done so anyway. You know, we've been - you look back at our investor calls, to say, one year ago, to all the week, we've been pretty darn accurate in our projections of COVID impact, generally, since the very beginning of the pandemic. And we said, we really like being in full service. And in the new normal, we expect we’ll really like being in full service. At the same time, as I said, we're expanding our greatest camp fresco [ph] business, which we always wanted to do. My experience as a retailer, and it's been, you know, we have a lot of studies and we can look at them. But my experience as a retailer is that once a retailer gets momentum, it's hard to stop them. So customers start coming to your stores, you start winning them over, you get better things, you get the confidence. And, and I said it twice in my scripts today, but I want to say it again, the key to our success will not be COVID, it will be Project Horizon and the executing. That will do what drives us.
Kenric Tyghe: Thank you. Just one quick follow up if I could squeeze it in here, one quick additional question rather, curbside pickup in Alberta last month, just in the context of CXP 3 [PH] the timing around CXP 3 [PH] being I think first half of 2023. Could you just help us understand the thinking there the, the evolution and whether or not it's safe to say we won't see curbside pickup necessarily across the country, but it's more opportunistic in markets where you've got a lead time, a long lead time to your next CFC opening. Just want to make sure we're correctly thinking about the all your curbsie launches in a very select number of markets?
Michael Medline: Good question, by the way, Kenric, but Mike, why don't you take it?
Michael Vels: Well, you just asked a good question, you'll also write a good answer. So that's right, we know we were going to – and its really store pack. You know, at some point in time, it's not just going to be curbside pickup, you know, which is really more of a COVID term. But store pack, ultimately is going to fit into our e-commerce strategy in places where our CFC will probably never service efficiently. And so, you know, that's why we're seeing Atlanta, Canada, and being a focus for us. In the west to your specific question, it's going to be a while before that CFC is up and running. And so we're going to provide customers with the Voilà experience in advance. And they're going to be just thrilled when they convert into a CFC that's going to have a wider assortment and just the same high quality baller [ph] servers. So it's a bit of a beachhead for our CFC, those will ultimately be there. But even afterwards there will likely still use store pick in places where is too remote, or too suddenly populated for the CFC to be effective. So it's always going to be one of the arrows in our quiver, but it's not going to be the main one.
Kenric Tyghe: Thank you. That's great color and congrats on the print. I'll leave it there.
Michael Medline: Thanks. Thanks so much.
Operator: Thank you. And the last question comes from Michael Van Aelst from TD. Please go ahead.
Michael Van Aelst: Thank you. Good afternoon. One of the focus for FreshCo. And if you could give us an update as to how the conversions are performing on the more recent stores compared to the initial conversions, and you're seeing improvements because of experience and the learnings? Or is that the diluted by the by the possibility that you started with the higher return stores?
Michael Vels: Thanks, Michael. So we didn't actually necessarily start with higher return stores. That's an interesting way of looking at it. W spent a lot of time figuring out, you know, at first we try this directly the answer to your question, so, apology. But - you know, our initial plan was maybe only focus on BC, and then we decided that it made more sense, you know, to be present in more markets, which is why we ended up in Saskatchewan, and NBCA, across Alberta. So we haven't actually tiered the Roland according to advantage store just under stores. So that wasn't really, I really wasn't part of the decision making, it was all about where it made more sense for the business to be given the customer demographics and opportunity. I'd point that at two things, in terms of how the recent stores are doing compared to the initial ones. From a, just an efficiency and ramp up, and an ad in general store conditions. Our recent stores have been way better than the first ones. And that makes a lot of sense, because if you think about it, we now have an experienced management team. And an experienced group of franchise operators in the West who've learned from initial experience, and they're just getting better and better and better every time they're all stood out. So just because of that, those experiences have been better, our margins are approved. And we're being we're being much more effective in terms of how we promote and how we price. Offsetting that though, is we haven't done the same grand openings that we did in our first stores. Again, we haven't been able to because of COVID. So it's been a quieter launch from any of the stores. Having said that, even with your lack of reduced marketing, because we didn't want to overcrowd the stores and have lineups like we did with our other grand openings. The results have been really good. And we're comfortable with them. They just they're just now a smaller ramp up. Then the only stores which had the big splashy grand openings. On balance so, I'd say from the bottom line perspective, the more recent stores or are having more efficient ramp ups in the early ones.
Michael Van Aelst: Okay, great. And then one Voilà, you talked earlier about expectations, the most profitable with farmers approach in Canada once you hit scale, can you give us an idea of the penetration level you figure you need to get to that scale and when you're at that level would you be expecting to have to cut your bricks and mortar square footage at the same time?
Michael Vels: So we don't have a real number, Michael, from a penetration perspective. You know, for us, it's about winning, it's about winning the channel, we expected over injection in the online channel. And, you know, at this stage, we're in the business of tracking weekly sales increases, and just pushing them as hard as we can. The second question, you know, in Ontario is, do we think that's going to cannibalize our bricks and mortar? And are we going to have to change our layouts? We don't think so at this point. I think this is a large enough market. And we're not going to have at least, you know, next five years, I don't think we'll have the type of market share or penetration rates that are going to require changes in bricks and mortar stores. But having said that, as we're rolling out new stores like onboarding, for example, they're much more online proof, then, you know, that a larger conventional store because, you know, they provide the experience and they provide assortment that's not 100% replicable and Voilà. You know, in Quebec, we think we strongly feel and sort of our franchise partners, that there's going to be more of a halo effect. We're going to be providing existing IGA customers with a very, very much higher quality option out there than they're currently getting online with an improved assortment. And we actually think we're going to grow the total pie there. And, and the losers are not going to be our stores. They're going to be the competition.
Michael Van Aelst: All right. Thank you.
Operator: Thank you. At this time, I will now turn the conference call back over to Katie Brine for closing comments.
Katie Brine: Thank you, Joanna. Ladies and gentlemen, we appreciate your continued interest at Empire. If there are any unanswered questions, please contact me by phone or email. We look forward to having you join us for our fourth quarter fiscal 2021 conference call on June 23rd. Talk soon.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect. Enjoy the rest of your day.